Operator: Good day, ladies and gentlemen, and welcome to the Euronext Second Quarter 2025 Results Conference Call. On today's call, we have StÃ©phane Boujnah, CEO and Chairman of the Managing Board; and Giorgio Modica, CFO. Please note this call is being recorded. [Operator Instructions] I will now hand you over to your host, StÃ©phane Boujnah, to begin today's conference. Thank you.
Stéphane Boujnah: Good morning, everybody, and thank you for joining us this morning for the Euronext Second Quarter 2025 Results Conference Call and Webcast. I am StÃ©phane Boujnah, CEO and Chairman of the Managing Board of Euronext, and I will start with the highlights of the second quarter of the year. I would like to say a few words also on the completed acquisition of ATHEX, the Greek financial infrastructure operator. Giorgio Modica, the Euronext CFO, will then develop the main business and financial highlights of the second quarter of 2025. As an introduction, I would like to highlight 2 main points. First, we have delivered all-time record quarterly results. Q2 2025 is Euronext's fifth consecutive quarter of double-digit top line growth. For Q2 2025, revenue and income grew by plus 12.8% compared to Q2 2024 to EUR 465.8 million, driven by both organic growth and strategic acquisitions. This remarkable performance reflects the Euronext's diversified business model that allows us to capture favorable market conditions, but also to generate non-volume related [Technical Difficulty] in many respects. Europe shows an unprecedented commitment to establish a savings and investments union for real. And Euronext is a key player to accelerate the delivery of this commitment. Since the beginning of the year, we have continued to deploy capital to expand across Europe. In July, we have also launched the expansion of our repo offering across Europe. Euronext is now well positioned to become the clearing house of choice for European repo. With a strong footprint in Italian repo with a growing list of government bond coverage and with the majority of key clearing members already connected, this strategic initiative is proceeding very well. Second, we have also expanded our presence in the Nordics over the past few months with the acquisition of Admincontrol, and we will further strengthen our position with the migration of NASDAQ Nordic power futures to Euronext Clearing scheduled in Q1 2026. And third, as announced yesterday morning, we are further diversifying our geographic presence in Europe with the contemplated acquisition of the Greek Financial Market Infrastructure Group, ATHEX. This transaction strengthens Euronext and enhances its strategic prospects for future growth. It also provides major benefits to the Greek market, which are going to become much more integrated into global flows -- into European flows, but also into global flows. Let me walk you through the structure of these transactions and also the key benefits of this compelling combination for Euronext and for Greek markets at large. Starting on Page 4. Yesterday, we announced the launch of a no share voluntary tender offer to all shareholders of ATHEX at a fixed conversion rate of 20 ATHEX shares for each new Euronext shares. The offer values ATHEX at EUR 7.14 per share and represents a total valuation of approximately EUR 412.8 million, based on Euronext share price as of 30th of July. This contemplated transaction is subject to customary regulatory approvals. The contemplated combination of Euronext and ATHEX marks a significant milestone for the harmonization of capital markets and for the benefits of local investors and global investors. It definitely strengthened, once again, Euronext as the consolidator of European capital markets. As you have noticed it, ATHEX Board of Directors recommends the offer of -- recommends the offer to ATHEX shareholders and entered into a cooperation agreement with Euronext for the delivery of the contemplated combination. This combination is fully aligned with our investment criteria of delivering a return on capital employed above the WACC of the company in year 3 to 5 after the closing of the transaction and after synergies. It is expected to be accretive for shareholders following the delivery of synergies from year 1. Euronext expects to deliver significant synergies indeed from the integration of ATHEX into its European market infrastructure. We expect EUR 12 million annual cash synergies by the end of 2028. This is our target. And restructuring costs to deliver those synergies are expected to amount to EUR 25 million. Over the past years, ATHEX has benefited from a very supportive macro environment, fueled by the ongoing recovery of the Greek economy. Between 2020 and 2024, ATHEX's net revenue has increased by plus 70% to EUR 52 million, and its EBITDA has tripled to EUR 23.7 million. ATHEX's activities are diversified across custody and settlement, across clearing, across cash equity and derivatives trading, across IT and digital services, across listing and data services. In 2024, close to 50% of ATHEX's net revenues were generated from its CSD and clearing business. In addition, ATHEX owns 21% of the Greek Power Exchange, EnEx. And Euronext and ATHEX will seek together to strengthen the links between EnEx Group, the Greek Exchange for power derivatives and spot trading and the Euronext European Electricity Exchange, Nord Pool. The Greek economy is expected to continue to significantly support the exchange business through a continued repricing of assets and increased international appeal. This is the right time to invest in Greece. Euronext has an unparalleled track record in integrating European capital markets. On Slide 6, you can see the benefits of integrated Euronext single liquidity pool, single order book, single technology platform. Since 2018, we have demonstrated as a team our ability to deliver strong benefits to the local ecosystems in each market operator we acquire. ATHEX will join this journey and will join the Europe's largest liquidity pool, bringing greater visibility and broader access to Greek issuers and investors. ATHEX will benefit from joining Europe's leading equity listing franchise, creating sustainable benefits for market volumes. Euronext aims to establish Athens Stock Exchange as a key hub for listing in the Southeast Europe region and to establish its comprehensive pre-IPO program in Greece. Following the migration of Euronext Dublin, Euronext Oslo BÃ¸rs, Borsa Italiana onto the Euronext trading platform Optiq, the average daily value traded on the market has materially increased and market quality metrics have improved significantly. Today, the benefits of joining Euronext Group reached beyond trading. We have built a unique integrated value chain in Europe across diversified asset classes from free trade to post-trade. By integrating more European exchanges within the Euronext framework and more market infrastructures within the Euronext model, we meaningfully simplify investments in Europe at large. Greece would be the eighth European country to join Euronext federal model when the transaction is completed. As you can see on Slide 7, the combined group will have an even stronger revenue profile. The contemplated combination allows Euronext to continue the geographic diversification of the group and deliver on our ambition to consolidate European capital markets with growth and synergies opportunities. Thanks to the migration of Greek trading to Optiq and harmonization of central functions, as I said earlier, we expect to deliver EUR 12 million cash synergies by the end of '28, and we expect restructuring costs to deliver those synergies to be -- amount to approximately EUR 25 million. The transaction positions Euronext as the backbone of the European Savings and Investment Union to the benefit of European Union global competitiveness and to the benefit of all the local market participants and to the benefit of all the European and global market participants. Let me give you a quick overview of the Q2 2025 highlights on Slide 9 before Giorgio provides you with much more details. Overall, as I said earlier, Euronext delivered double-digit revenue growth in Q2 2025 for the fifth quarter in a row. In Q2 2025, revenue and income grew by plus 12.8% year-on-year, up to EUR 465.8 million. Non-volume-related revenue amounted to 58% of total revenue and income and posted strong performance overall. In particular, Securities Services revenues grew by plus 6.5% to EUR 86.2 million, driven by increasing assets under custody, higher settlement activity and I'm proud to say double-digit growth in value-added services. Capital Markets and Data Solutions contributed meaningfully to our record performance in Q2 2025. Advanced Data Solutions grew by plus 7.5% to EUR 65.2 million, driven by growing demand for diversified data sets and dynamic retail usage. Data Solutions were also supported by the diversification of our offering with the acquisition of GRSS on 3rd June last year. Corporate and Investor Solutions and Technology Services grew by 29.2% to EUR 53.7 million. The strong growth in this Corporate Investor Solutions business is supported by the acquisition of Admincontrol, which completed on 13th of May 2025 and a double-digit growth of our investor solutions and colocation services. Volume-related businesses continued to be fueled by high volatility. The fixed income and currency FICC markets revenues was up 20.1% compared to Q2 2024 at EUR 88.7 million, driven by another record performance in fixed income trading and clearing. Equity markets revenues was up plus 9.5% compared to Q2 2024 at EUR 106.2 million. On the cost side, our underlying expenses, excluding D&A, were at EUR 168.4 million, up plus 79% compared to Q2 2024. The increase compared to Q2 2024 reflects growth investments and the impact of acquisitions that are partially offset by strong cost discipline. This is in line with the ramp-up of growth investments we announced as part of the underlying cost guidance of EUR 670 million for 2025. As a reminder, the $670 million for 2025 guidance does not include the admin control cost base. Consequently, our Q2 2025 adjusted EBITDA grew by plus 15.8% compared to Q2 2024, reaching close to EUR 300 million. Euronext adjusted EBITDA margin increased by 1.6 points to 63.8%, reflecting the strong top line growth. Supported by the dividends from Euroclear, Euronext adjusted net income reached EUR 204.4 million, up plus 23.8% compared to Q2 2024. We reached record adjusted EPS at EUR 2.02 per share. Q2 2025 reported net income was EUR 183.8 million, up plus 29.7%. Reported EPS grew by 32.1% compared to Q2 2024 to EUR 1.81 per share. Now on balance sheet size, our net debt to last 12 months adjusted EBITDA was at 1.8x at the end of June 2025. This is in line with our target leverage that we announced in November 2024, which is between 1x and 2x net debt to EBITDA announced as part of Innovate for Growth for 2027. The increase in this leverage ratio compared to Q1 2025 reflects the impact of 2 events; the acquisition of Admincontrol and the dividend payment in May 2025. I now give the floor to Giorgio for the business and financial review of Q2 2025.
Giorgio Modica: Let's now have a look at the strong performance of the second quarter of 2025. I'm now on Slide 10. We reported all-time record results supported by organic growth, favorable market condition and a disciplined capital allocation. Total revenue and income is up 12.8% compared to last year, reaching EUR 465.8 million, of which 58% is non-volume related, covering 161% of underlying operating expenses, excluding D&A. Let me deep dive into the drivers of this record performance, starting with non-volume-related revenue and income on Slide 11. Let's begin with the asset-driven revenue segment. Securities Services revenue was at EUR 86.2 million, marking a 6.5% increase. Custody & Settlement revenue reached EUR 77.5 million, a 10.8% increase compared to the second quarter of 2024. This strong performance was driven by growing assets under custody at EUR 7.3 trillion alongside dynamic settlement destruction. Value-added services continued to grow double digits, supported as well by the acquisition of Acupay. Other Post Trade revenue declined 21.1% compared to the second quarter of 2024 and they were at EUR 8.6 million. This stems from the migration of the derivative clearing from LCH SA to Euronext Clearing and the internalization of the net treasury income in September 2024. On the other side, the net treasury income was up 45.1% compared to the second quarter of 2024, benefiting from the expansion of Euronext Clearing and the internalization, as I just said, of the net treasury income from LCH SA following the derivative clearing migration. It also reflects higher cash collateral posted to the CCP due to the elevated market volatility. Turning to Capital Markets and Data Solutions on Slide 12. Revenue reached EUR 165.4 million, reflecting a 12% increase compared to the second quarter of 2024. Primary market generated EUR 46.5 million of revenues, up 2.3% compared to the same quarter last year. This is an illustration of the resilience of our listing revenue in a volatile environment. Advanced Data Solutions revenue grew to EUR 65.2 million, up 7.5% compared to the second quarter of 2024, driven by the contributions from GRSS, the strong appetite from retail investors and growing monetization of our diversified data sets. Corporate and Investor Solutions and Technology Services reported EUR 53.7 million in revenue for the second quarter of 2025, up 29.2% compared to the same quarter last year. The strong performance reflects the contribution of Admincontrol for half the quarter and the double-digit growth of investor solutions and colocation services. Like-for-like revenue of this line grew 13.5%. Moving to our volume-related activity now on Slide 13. Revenue from FICC markets reached EUR 87.7 million, marking a 20.1% increase compared to the second quarter of 2024. Fixed income trading and clearing revenue grew by 31.9% to EUR 51.7 million, driven by the continued favorable market condition, wider adoption of algorithmic trading and the supportive debt management policies. MTS Cash average daily volumes traded was up by 63.1% year-on-year at EUR 59.2 billion. MTS repo term adjusted average daily trading volume reached EUR 612.8 billion, up 36.6%. Commodities trading and clearing revenue increased by 2.7% to EUR 26.7 million in the second quarter of 2025, reflecting record intraday volumes in power, offset by softer agricultural commodity trading and clearing revenues. Lastly, FX revenue reached a new record of EUR 9.3 million this quarter, up 18.9% compared to the second quarter of 2024. This reflects the strong performance of FX trading and the record trading volumes in April 2025, which is partially offset by the negative U.S. dollar depreciation impact. Like-for-like revenues for this line grew 25.2%. Continuing with the review of our volume-related revenue, I'm now on Slide 14. Equity Markets revenue saw a 9.5% increase compared to the same quarter last year, reaching EUR 106.2 million. Cash equity trading and clearing revenue grew by 16.2% compared to the second quarter of 2024, reaching EUR 93.4 million. This reflects a 21.2% increase in average daily volumes traded, driven by market volatility and a solid average revenue capture of 0.52 basis points despite higher volumes and larger average order size. Financial derivatives trading and clearing revenue was at EUR 12.8 million this quarter, a 22.9% decline compared to the second quarter of 2024 due to lower volatility and the decrease of the average clearing fees. Following the clearing migration in September 2024, certain clearing fees are now reported in the line other post-trade revenues. And as such, this line is not fully comparable. Moving on with EBITDA bridge on Slide 16. Euronext reported EBITDA for the quarter grew 17.6% to EUR 293.9 million, mainly thanks to EUR 43 million of additional revenues at constant perimeter and EUR 10.7 million additional revenues generated through the acquisition performed over the period. This was offset by EUR 6.1 million of additional cost at constant perimeter and EUR 6.5 million of additional costs from the change of scope. Non-underlying expenses were EUR 3.5 million lower than in the second quarter of 2024 due to the completion of the Borsa Italiana Group integration last year. Euronext adjusted EBITDA for the quarter grew 15.8% to EUR 297.3 million with an adjusted EBITDA margin of 63.8% this quarter, up 1.6 points compared to the second quarter of 2024. The underlying operational expenses, excluding depreciation and amortization increased, as StÃ©phane said, by 7.9%, mostly related to the growth investment for the delivery of our Innovate for Growth 2027 strategic plan and the impact of acquisitions. Moving to net income on Slide 17. Adjusted net income in the second quarter of 2025 reached a new record of EUR 204.4 million, which represents an increase of 23.8% compared to the second quarter of 2024. This reflects mainly the strong EBITDA growth in the second quarter of 2025 and the EUR 24.5 million dividend received from Euroclear this quarter. Depreciation and amortization accounted for EUR 48.2 million in the second quarter of 2025, plus 0.5% more than in the second quarter of 2024. PPA related to the acquired businesses accounted for EUR 19.1 million. Euronext reported net financing expense of EUR 5.7 million in the second quarter of 2025 compared to EUR 3.5 million of net financing income in the second quarter of 2024. This variation reflects decreasing interest rates, lower cash position after the redemption of the EUR 500 million bond and the acquisition of Admincontrol funded by the issuance of a convertible bond. With respect to the latter, it is important to highlight that the portion of the P&L interest related to the convertible bond are noncash. Income tax for the second quarter of 2025 was EUR 68.1 million. This translated into an effective tax rate of 25.7% for the quarter compared to 27% in the second quarter of 2024. The tax rate this quarter was positively impacted by the tax-exempt dividend received from Euroclear. Share of non-controlling interest amounted to EUR 12.6 million, correlated with the strong performance of MTS and Nord Pool. As a result, the reported net income share of the parent company shareholders increased by 29.7% for the second quarter of 2025 compared to the second quarter of 2024 to EUR 183.8 million. EPS adjusted, basic, was up 27% this quarter at EUR 2.02 per share compared to EUR 1.59 per share in the second quarter of 2024. This increase reflects higher profit and lower number of outstanding shares over the second quarter of 2025 compared to the second quarter of 2024. Reported EPS, basic, increased by an impressive 32.1% year-on-year to EUR 1.81 per share. I will conclude now on Slide 18 with the cash flow generation and leverage. In the second quarter of 2025, Euronext reported a net cash flow from operating activities of EUR 135 million compared to EUR 111.5 million in the second quarter of 2024. This reflects higher profit before tax and higher income tax paid in the second quarter of 2025. Excluding the impact on working capital from Euronext Clearing and Nord Pool CCP activities, net cash flow from operating activities accounted for 52.3% of EBITDA in the second quarter of 2025. Net debt to adjusted EBITDA ratio was at 1.8x at the end of the quarter, in line with our target range. Finally, the success of our EUR 425 million convertible bond offering on the 22nd May secured the funding for the acquisition of Admincontrol and underscored the strong investor confidence in Euronext's strategic vision and growth potential. And with this, I would like to give now the floor back to StÃ©phane.
Stéphane Boujnah: Thank you, Giorgio. We have delivered, as you have seen, an exceptionally strong first half of the year with record results. Since the beginning of the year, we have demonstrated a sharp focus on the execution of our strategic plan, which is proceeding as expected, and we are in an ideal position now to deliver our Innovate for Growth 2027 strategic plan targets. Our unique, integrated value chain has, once again, proven its strength. Actually, the contemplated acquisition of ATHEX has further reinforced our position as the natural consolidator of European capital markets infrastructure, created additional attractive growth prospects for the group. So, thank you for your attention, and we are now ready to take your questions.
Operator: [Operator Instructions]
Stéphane Boujnah: I don't think we are hearing the operator. You seemed to be on mute.
Operator: [Operator Instructions]
Unidentified Company Representative: We are sorry, we don't hear the operator, and so, we cannot proceed with the questions. Please bear with us. We hope to solve it in the seconds or minutes.
Operator: [Operator Instructions] The first question comes from the line of Benjamin Goy calling from Deutsche Bank.
Benjamin Goy: Yes, the first question is on the ATHEX deal. Maybe I missed it, but you mentioned EUR 12 million of cash synergies. How this is split in costs and potentially revenues or are revenue synergies on top? And then secondly, StÃ©phane, you mentioned fifth consecutive quarter with double-digit growth. So, it feels like you're ahead of your plan, but you keep your cost guidance. So, just maybe you can highlight a bit about the thinking about, yes, investing, pull forward of investments and then maybe sooner payout versus cost control?
Stéphane Boujnah: So, the big picture is that we will keep -- Giorgio will answer your question on the cost guidance. On the ATHEX synergies, the EUR 12 million synergies are both cost and revenues. As you can imagine, this is not the first deal of this nature that we are doing. The integration of ATHEX -- at the Athens Stock Exchange, if the deal is completed, will be -- will have similar feature with the acquisition of the Irish Stock Exchange in 2019; the acquisition of Oslo BÃ¸rs VPS in 2019; to a certain extent, the acquisition of VP Securities in Copenhagen, which was also an integration process in 2020; and Borsa Italiana in 2021. So, it's a combination of cost and revenues. It's clear that the first part of the synergies will be related to the plugging of Greek markets into the single technology platform, the single liquidity pool of the Euronext Group and will be cost driven, but there are also some ambitions to drive revenue expansion through the deployment in Greece of all our products. And clearly, we will here save on CapEx in this particular environment. Giorgio, on the cost guidance.
Giorgio Modica: Yes. With respect to the cost guidance, so the first element I would like to highlight is that the [ EUR 670 million ] are within the organic perimeter, so do not include the additional cost from Admincontrol. And based on where we are now, we are proceeding in line with the plan. So, we confirm with the target at EUR 670 million. In parallel, we are considering with StÃ©phane and the Managing Board, the opportunity to potentially further accelerate throughout the next quarters. But at the moment, no decision has been taken, and we confirm again our target at EUR 670 million.
Operator: The next question comes from the line of Hubert Lam calling from Bank of America.
Hubert Lam: I got 3 of them. Firstly, for the ATHEX deal, why did you use shares to pay for ATHEX when you have plenty of cash, I think? Just wondering what the rationale behind that. The second question, again, is on the synergies. How should we think about the phasing of the EUR 12 million of synergies? How long will this take? And lastly, for the NASDAQ Nordic Power business, it seems like you brought it forward to Q1 '26. Just wondering if you can now quantify the potential revenue opportunities there.
Stéphane Boujnah: Giorgio?
Giorgio Modica: Yes. So, the first question is, why did we decided to use shares. There are many reasons for that. Let me start with the list. First, we are able to deliver, as we have announced, an EPS accretive transaction year 1, which means that we tick that box, which is very relevant also thanks to our current trading multiple. The second element is that this is one of the occasions where [indiscernible] share to execute the transaction, which is not always the case. And here, I make reference, for example, to a potential bilateral trade with -- on private companies in competition with other buyers within the context of an option. And third, you are absolutely right. We have cash, but now we are touching a bit the limit of our targeted range, and we want to keep firepower to deliver true diversification, i.e., integrating activities that can foster sustainable long-term growth and reduce our exposure to volumes. So those are the key reasons why we decided to use the shares. So, it's a relative valuation opportunity, a willingness to keep meaningful firepower for true diversification. Yes. And then with respect to the -- this is for the first question. The second question, phasing of synergies; we are at the very early stage of the process and the actual phasing of synergies, as you know very well, is going to depend on the phasing of the migration and those discussions have not even started. So, it's too early to propose a phasing for you. So, I mean, we will keep you posted depending on the evolution, the success of the offer. And finally, yes, you're right. The transaction of NASDAQ Power derivatives is concluded. Migration is expected for the first quarter of 2026. But we are not yet providing any specific target for the revenues for next year. This will come at a later stage.
Operator: The next question comes from the line of Enrico Bolzoni calling from JPMorgan.
Enrico Bolzoni: One in Corporate Solutions, you had a very good print, which I think is partially due to the integration of Admincontrol, which, however, was integrated only mid of the quarter. I was just wondering whether you think the figure you printed this quarter is a good run rate for the second half of the year or whether it can be even better? So, that's my first question. And my second question is on the partnership with Clearstream and Euroclear that you announced. So, I was just wondering whether if you can provide some color in terms of how this in practical terms will benefit, I guess, the clients of Euronext, but also the shareholders? In other terms, how can you monetize that, if you can? I'm just a bit curious to get some color because clearly, some of these partners are also competitors of yours and you have ambitions in the repo market that they also seem to have. So, I was just wondering if you can provide some color there.
Stéphane Boujnah: So, Anthony Attia will provide you some substance to your question about the agreements with Clearstream and Euroclear as he is responsible for our post-trading derivative business and leading the repo clearing ambition. And as far as your Corporate Solution question is concerned, I don't think we should extrapolate at this stage numbers in any way either for the upside or the downside because we are in the process of deploying the integration of Admincontrol. We have ambitions as indicated at the time of the announcement of the transaction to grow the top line. The cross-selling workshops are in progress, and we have an ambition to extract revenue synergies from that acquisition. But when it comes to the second part of the year, this is still work-in-progress. So, we are not in a position to provide specific guidance in this respect.
Anthony Davy Attia: This is Anthony. Thank you for your question. So, indeed, we have announced the opening of the service in the clearing house to work with Euroclear and Clearstream on what we call the tri-party collateral management. This is a feature of large, growing clearing houses, which is the case of Euronext Clearing. It's about delivering a service to our clearing members, which helps them optimizing the allocation of their margin and default fund contribution through tri-party collateral management. We are working with Clearstream and Euroclear as ICSDs. So, it's Clearstream Bank and Euroclear Bank. This is an existing service that they deliver to some of our clients for other CCPs, so we are offering it as well. And as for the benefit for the clearing business, it's an acceleration of the growth of our clearing house by providing flexibility and agility in the allocation of collateral to our clients in support of our repo clearing expansion, but as well in support of all the other clearing services that the CCPs is providing.
Enrico Bolzoni: So, I guess, rather than being a monetization opportunity for you, it's just a better service for your clients?
Anthony Davy Attia: Yes. And it comes as a feature to support the expansion of the CCP as we detailed in the past announcement on repo clearing, but also on the future expansion of the clearing house on diversified asset classes, in particular, on listed derivatives.
Operator: The next question comes from the line of Julian Dobrovolschi calling from ABN AMRO.
Julian Dobrovolschi: Julian from ABN ODDO. Two from my side, please. One on the data business. Some of your peers flagged recently some price pressure on the data business with some data vendors supplying seemingly steep discounts to some of their products. And I was wondering if those price pressures are somehow translating into headwinds to your own data business. So, I would appreciate some comments on this point. And the other one is on the Corporate Investor Solutions and Tech Services, so the whole segment combined. You reported about a 14% growth in Q2 organically. And I was just wondering if you could please isolate the Tech Services business and speak about its growth momentum. I think you flagged some colocation there, but I'm wondering if that's driven primarily by the pricing or there is also a bit of the volume component in the growth.
Stéphane Boujnah: So, I'll give the floor to Nicolas Rivard, who is responsible for [indiscernible], our data businesses and tech services related to colocation. He will provide you some color on the dynamics of those 2 segments. On the data business, I must underline that we have always been extremely cautious in creating expectations about our data business. We never created open-ended expectations like, data is a new oil or these sort of things. We have a very strong, robust growing data business, which is based on fundamental needs of clients and not on far and aspirational expectations. So, over to you, Nicolas.
Nicolas Rivard: Thank you, StÃ©phane, and thank you for your questions. The [indiscernible] business of Euronext is, we are in the business of providing proprietary data, data which is specific, valuable for clients with a specific IP. What we have been developing over the last years is our new products that are based on Euronext proprietary data. So, I would argue that we are in a business which is different from the one of the data vendors. We are in a competitive business because there are some providers of data which are competing with our solutions, but our data is valuable for clients. We see a very good traction for our data, both for the retail investor and from institutional investors. And we keep on innovating, creating new products, leveraging notably the expansion of the value chain, so being in a different asset classes, but also through the CCP and the CLT. So, I would argue that our data business is very competitive. And in that sense, there is still a strong demand from clients.
Operator: The next question comes from the line of Andrew Coombs calling from Citi.
Andrew Philip Coombs: A couple of questions. So firstly, just on the equities result. If I look at your revenue capture, it's up again in the quarter now at 0.52 basis points. You talked about higher volumes and order size. Historically, when you have more volume, some of the discounts have kicked in. It seems to be actually going the opposite way now. So, perhaps you can comment on the sustainability of the revenue capture within the equities business in this higher volume environment. And then a much broader question that I know the Investor Day wasn't that long ago, but your 5% or greater than 5% revenue and EBITDA CAGR already appear to be substantially out of date. I mean I think consensus is now at 8% to 10%, and that's even before ATHEX closes. So, do you plan to revise those targets or update those targets at any point?
Stéphane Boujnah: Nicolas Rivard is going to answer your question about revenue capture momentum. And as far as the guidance for 2027, we do not intend to revise the guidance for the time being.
Nicolas Rivard: So, that you very much for that question. I will answer in 2 ways. The first one is that we have not done any structural change on the pricing in Q2 2025. Therefore, we need to look at the drivers of the yield. There are 3 key drivers on the yield. The first one are the volumes. The second one are the order size, and the third one is the mix of participants. As mentioned previously in the introduction of the call, the volume are in line with Q1. The order size are also in line with Q1. So, the reason for the change of yield is the mix of participants. We have witnessed in Q2 '25, a lower participation in relative terms, of liquidity providers compared to other market participants. And you know that the yield on liquidity provider is lower to the one of other participants, hence, the relative increase of the yield compare to Q1, all things being equals.
Operator: The next question comes from the line of Arnaud Giblat calling from BNP Paribas.
Arnaud Maurice Andre Giblat: It's Arnaud Giblat here from BNP Paribas Exane. Three quick questions, please. Can I come back to your cost guidance? I mean clearly, you're running a bit ahead here and yet you're not changing the guidance. So, I'm just wondering if we should be thinking about this as a phasing issue like you're ramping up investments of H2? My second question is to come back on the ATHEX synergies, the split between costs and revenue. So, I was wondering if you could quantify that split for us. And my final question is on MTS. I'm just wondering where you're at in terms of discussion with the French government in terms of OAT issuance and whether you're gaining more traction there?
Stéphane Boujnah: Okay. So, I'll take your question on MTS, and I'll take your question on the ATHEX synergies, and Giorgio will put some context and clarity about this debate on the cost guidance, and I will tell you why we are not revising it. On the ATHEX synergies, we are targeting EUR 12 million of cash synergies by the end of '28, period. The deal is announced. The offer is not even open. We have had a very stimulating due diligence interactions with the company. We are comfortable in targeting this number. We do know that a significant part of this number will come from the usual cost synergies we extract by plugging a listed stand-alone company into a group which doesn't need all the overhead of a stand-alone listed company by plugging stand-alone market infrastructure into an integrated technology platform, an integrated liquidity pool and an integrated order book. And we have done that several times. So, we are comfortable with the concept that a significant part of the synergies will come from cost restructuring. We do know that we are going to be able to deploy in Greece all sorts of their products, value-creative opportunities for the clients that we have deployed in Norway, in Italy and -- for which we have identified tractions. And we do know that there will be on the top of cost synergies, revenue synergies. All in all, at this stage, we are talking about -- we are committed to deliver EUR 12 million. But at this stage, I do want to be roughly correct rather than precisely wrong. And in my view, it will not be wise to try to micro -- to do micro segregation between revenue synergy and cost synergies when the ticket is a EUR 12 million ticket. But in due course, when the company has become 100% or part or fully controlled by Euronext, when the integration plan is specified, I would assume that just as it took place for the acquisition of the Borsa Italiana Group, where we revised twice the synergy expectations, by the way, upwards. I would expect that we would be in a position to be more specific over time. When it comes to MTS, so we have an ongoing dialogue with the French treasury. As you know, the dynamic on the cost of debt for France is quite peculiar because now French sovereign debt is in the territory of Greek and Spain sovereign debt, and the spread would be -- between France and Italy is smaller than the spread between France and Germany, which was the usual metric. So, there is a growing interest for what can be done to improve the liquidity of the French sovereign debt, but nothing material and good as has happened. As you know, it is a very structural change to move from a pure primary dealer relationship for any debt management office towards a combined situation where you have both primary dealers and electronic platform like MTS. This is a structural change. Dialogues are very intense at all levels of the French Ministry of Finance from elected officials to leading officials in the organization and the bureaucrats, but work in progress. So, Giorgio, on the cost guidance.
Giorgio Modica: Absolutely. With respect to the cost guidance, what you should keep in mind is that we are executing a very significant ramp-up in terms of teams. If we compare where we are now with respect to where we are 1 year ago, there is a significant increase in the staff, and we are executing the plan. If I look at the plan, EUR 670 million is what is the result at the end of the year, which means that implicit, yes, there is going to be an increase of cost in the following quarter linked to the delivery of the investments in growth that we have planned last year. So, to make a long story short, yes, we will onboard new colleagues in the second part of the year. The cost will go up, and we are still targeting, on a fully organic basis, EUR 670 million of OpEx.
Operator: There are no further questions. So, I will hand you back to StÃ©phane Boujnah to conclude today's conference. Thank you.
Stéphane Boujnah: Thank you very much. Have a good day. And if you have any further questions, the Investor Relations team here with Judith Stein, with AurÃ©lie Cohen is available to take your calls and answer your questions at any time. Thank you very much. Have a good day.
Operator: Thank you for joining today's call. You may now disconnect.